Operator: Good morning. Welcome to the Tronox Holdings plc Q4 2024 earnings conference call. We will conduct a question and answer session. All participants will be in a listen-only mode until this part of the session. This call is being recorded. If you have any objections, please disconnect at this time. I would now like to turn the call over to our host, Jennifer Guenther, Chief Sustainability Officer, Head of Investor Relations and External Affairs. Please go ahead, Jennifer.
Jennifer Guenther: Thank you, Danny, and welcome to our fourth quarter and full year 2024 conference call and webcast. Turning to slide two, on our call today are John Romano, Chief Executive Officer, and John Srivisal, Senior Vice President, Chief Financial Officer. We will be using slides as we move through today's call. You can access the presentation on our website at investors.tronox.com. Moving to slide three. A friendly reminder that comments made on this call and the information provided in our presentation and on our website include certain statements that are forward-looking and subject to various risks and uncertainties, including but not limited to the specific factors summarized in our SEC filings. This information represents our best judgment based on what we know today. However, actual results may vary based on these risks and uncertainties. The company undertakes no obligation to update or revise any forward-looking statements. During the conference call, we will refer to certain non-US GAAP financial terms that we use in the management of our business and believe are useful to investors in evaluating the company's performance. Reconciliations to their nearest US GAAP terms are provided in our earnings release and in the appendix of the accompanying presentation. Additionally, please note that all financial comparisons made during the call are on a year-over-year basis unless otherwise noted. It is now my pleasure to turn the call over to John Romano. John?
John Romano: Thank you, Jennifer, and good morning, everyone. We'll begin this morning on slide four with some key messages from 2024. Tronox Holdings plc delivered solid fourth quarter results in line with expectations despite continued macro weakness. Stronger TiO2 commercial performance in Asia Pacific and Latin America mitigated continuing lagging demand in Europe, while North America performed in line with our expectations. On zircon, our sales exceeded our previous guidance, driven by strong execution from our commercial group. Additionally, despite significant competitive dynamics across all products, pricing came in as anticipated. We also realized operational cost improvements as expected driven by consistent and reliable operational performance in the fourth quarter. Reflecting on the full year, I'm proud of the work our team did to stay focused on the things we can control. As safety is our leading value, we heightened our focus and are happy to report that we reduced our total recordable injuries by 23% in 2024. We enhanced our focus on operations and achieved our targeted operating rates, resulting in production cost improvements in the second half of 2024. We continue differentiating our company through sustainability projects such as the conversion of 40% of our power in South Africa to solar, this not only benefits Tronox Holdings plc from a greenhouse gas production standpoint, but also allowed us to avoid $17 million of additional electricity costs in 2024. We continue to execute on our capital allocation strategy through business, returning capital to shareholders in the form of dividends, and strengthening the balance sheet through opportunistic refinancing transactions. We also launched a new business strategy in the second half of the year as we referenced on our previous earnings call and initiated a cost improvement plan. This initiative is focused on enhancing cost efficiency, optimizing asset reliability, and driving operational excellence across all aspects of our business. Through this work, we've identified $125 to $175 million of additional cost improvement opportunities achievable on a run-rate basis by the end of 2026. We are very excited about this program and believe that it will deliver real sustainable cost improvements across the business. I'll touch more on our strategy and the path forward, including more details on this cost improvement program a bit later in the call. But for now, I'm going to turn the call back over to John Srivisal to review our financials from 2024 in more detail. John?
John Srivisal: Thank you, John. Turning to slide five. We generated revenue of $3.1 billion, an increase of 8% compared to the prior year driven primarily by higher TiO2 and zircon sales volumes, which is partially offset by unfavorable price and product mix. We reported a net loss attributable to Tronox Holdings plc of $48 million. Our full-year adjusted EBITDA was $564 million. Our adjusted EBITDA margin was 18.3%. Our free cash flow for the year was a use of $70 million. Turn to the next slide and we'll now review fourth-quarter results in more detail. We generated revenue of $676 million in the fourth quarter, a decrease of 1% versus the prior year quarter driven by lower average selling prices and unfavorable mix impact on zircon and TiO2. We also saw lower sales volumes of other products which were partially offset by higher sales of zircon and TiO2. Income from operations was $48 million in the quarter, and we reported a net loss attributable to Tronox Holdings plc of $30 million. We delivered adjusted EBITDA in the quarter of $129 million well within the guided range of $120 million to $135 million. We achieved adjusted EBITDA margins of 19.1%. CapEx for the quarter is $117 million and free cash flow was a use of $35 million. Now let's move to the next slide for a review of our commercial performance. TiO2 revenues increased 3% versus the year-ago quarter as sales volumes improved 4%, partially offset by a 1% decline due to price and product mix. Sequentially, TiO2 revenues declined 13%. Fourth-quarter TiO2 volumes declined 11% sequentially. This compares to our previous guidance of a 10% to 15% decrease. Lower average selling price and mix had an unfavorable impact of 1%, reflective of the current demand and competitive environment. Movements in the euro drove a 1% headwind. Zircon revenues increased 32% over Q4 2023 as sales volumes increased 43% and partially offset by an 11% headwind from price and product mix. Sequentially, zircon revenues increased 1% driven by a 9% increase in volumes exceeding our guidance of flat to slightly down versus Q3, which is largely attributable to strong commercial execution in Asia Pacific. This is partially offset by an 8% headwind from price and product mix. Revenue from other products decreased 38% compared to the prior year and 40% versus the prior quarter due to opportunistic sales of ilmenite and heavy mineral concentrate tailings, sold in each of the comparable quarters that did not repeat in the fourth quarter of 2024. Turning to the next slide, I will now review our operating performance for the quarter. We saw significant cost improvements by achieving our targeted operating run rates and benefited from the sales of lower-cost tons in the quarter. Our adjusted EBITDA of $129 million for the quarter represented a 37% improvement year on year driven by lower production costs, partially offset by unfavorable commercial impacts and headwinds from exchange rates. Year-on-year production costs improved $75 million due to favorable fixed lower raw material costs, and non-repeating idle and LCM charges. Sequentially, adjusted EBITDA declined 10%. Unfavorable commercial impacts were partially offset by improved production costs and tailwinds from exchange rates. Turning to the next slide, we ended the year with total debt of $2.9 billion and net debt of $2.7 billion. Our net leverage ratio at the end of December reduced to 4.8 times on a trailing twelve-month basis. The balance sheet remains strong with ample liquidity of $578 million including $151 million in cash and cash equivalents. Additionally, in 2024, we strengthened our balance sheet by repricing and extending our revolver and term loan tranches. As a result of these activities, we have extended our debt maturities out to 2029 and 2031 and reduced our net cash interest expense by $10 million. Working capital was a use of $103 million for 2024. This was mainly driven by the slowing of the market demand in the second half of the year which drove higher finished goods inventory levels in the fourth quarter. Our capital expenditures totaled $370 million with approximately 45% allocated to maintenance and safety, and 55% to strategic mining extension and growth projects, and we returned $80 million to shareholders in the form of dividends. Turning to our capital allocation strategy. Our priorities remain unchanged. We continue to prioritize investments that are essential for advancing our strategy and maximizing value from our vertically integrated business. We also remain focused on strengthening our liquidity and resuming debt paydown as the market recovers. We are targeting a mid to long-term net leverage ratio of less than three times through the cycle. Our dividend remains a priority, and finally, we will continue to assess strategic high-growth opportunities as they emerge including rare earths. We'll now turn the call back over to John Romano to go over the outlook. John?
John Romano: Thanks, John. So for 2025, we decided to issue an outlook for the full year. Providing a longer-term outlook meets our goal to be more transparent with investors, while aligning how we think about and manage the company internally with how we talk about the company externally with the medium and long term in mind. Based on our current views on the market dynamics and global economic activity, we expect 2025 revenue to be in the range of $3 to $3.4 billion and our adjusted EBITDA to be in the range of $525 to $625 million. This forecast takes into account several factors, including the pace of the market recovery, competitive dynamics as it pertains to price and volume, some operating variability as we commission the Fairbreeze and East OFS mine extensions, and our ongoing focus on accelerating and executing on our cost improvement program and financial performance. On the commercial side, we're assuming improvement in pigment and zircon volumes, partially offset by headwinds from non-repeating other product sales in 2024. With respect to antidumping, we're already seeing an uplift in Europe and Brazil, and expect that benefits would materialize in other jurisdictions like India. For this morning, the Indian trade defense industry recommended definitive duties that we expect will go into effect in the second quarter. On the operation sides, we assume benefits from non-repeating idle facility and LCM charges, and improving pigment production costs. This will be partially offset by higher mining production costs in the range of $50 to $60 million as we transition out of older mines into newer mines with higher-grade ore deposits. Our outlook also assumes that the second half of 2025 will be stronger than the first half, as pricing is expected to be more of a headwind in the first half of the year before recovering in the second half, and we're also expecting volumes to be stronger in the second half of the year. With regards to cash, we expect the following: net cash interest of approximately $130 million, net cash taxes of less than $10 million as capital expenditures from projects in South Africa are deductible, working capital to be a use of cash of approximately $70 million, and capital expenditures to be in the range of $375 to $395 million. As a result, we expect free cash flow to be relatively flat at the midpoint of the range. We have realigned our expectations to reflect the latest macroeconomic backdrop. Through the execution of our newly formed strategy and our cost improvement program, which I will cover on the next two slides, we see significant opportunity for earnings growth ahead. Slide twelve outlines our new business strategy that we previewed at the beginning of this call and it consists of four key components: being the best at what we do, growing our future, leveraging what makes us unique, and being the benchmark for sustainability. This framework builds on the strong foundation previously established and enables us to continue executing on what we do best while capitalizing on new opportunities. Part of our strategy as we referenced on the previous earnings call and includes the launch of a sustainable cost improvement program. So let's turn to slide thirteen and review that program in more detail. As a result of the work completed over the last several months, we have identified $125 to $175 million of sustainable run-rate cost improvements by the end of 2026. This program is focused on enhancing cost efficiency and optimizing asset performance across all aspects of our business. Our target actions will include leveraging operational excellence, harnessing technology to drive efficiency and innovation, enhancing supply chain and integrated business planning strategies, and aligning SG&A to maximize the overall impact on our business. To give some context of this, operational excellence means improving the efficiency and effectiveness of our processes, to achieve best-in-class performance through continuous improvement accountability, accelerated learning supported by our global centers of excellence. Harnessing technology will include expanding our automated process control program or APC, to further enhance the efficiency and reliability of critical assets. By optimizing real-time process adjustments, APC maximizes and minimizes variability, improves yield, and reduces energy consumption. Optimization of our integrated business planning process will enhance the impact of vertical integration throughout our asset portfolio as new mines come on later this year and in 2026. And we're also aligning SG&A to ensure resources are strategically positioned to drive the greatest business impact through disciplined cost management. These are just a few examples of the opportunities we've identified in the early stages of this project. And we will continue to evaluate every aspect of our business to drive further improvements. At the core of our strategy is a commitment to be the best at what we do, focusing resources on our strengths while deprioritizing nonessential activities. This program is not about short-term cost reductions, but rather sustainable long-term improvements that drive structural efficiencies, including the standardization of best practices across all of our business. We remain committed to safety, continuous improvement, and disciplined cost management across our entire business as we navigate through economic uncertainty. We're focused on managing the controllables. These actions will secure Tronox Holdings plc's position as a leading vertically integrated titanium mining and upgrading producer. And with that, that will conclude our prepared remarks, and we'll now move to the Q&A portion of the call. So I'll turn the call back over to the operator to facilitate. Danny?
Operator: Thank you. We will now begin the question and answer session. If you are in the Q&A and have joined by a webinar, please use the raised hand icon, which can be found at the bottom of your webinar application screen. If you are participating in Q&A and have joined via phone line, please press star nine on your keypad to raise your hand. When you are called upon, you will be prompted to unmute your line and ask your question. We will now take a moment for the queue to roster. Our first question comes from John McNulty at BMO. Please press star nine to unmute your line.
John McNulty: Sorry about that. Hopefully, you can hear me now. So the question on the pricing environment, can you speak to what's driving what sounds like slightly softer pricing in the first half of the year, especially given that we do have some of the tariffs in place now and I would have thought that would have at least contributed a little bit to an improving pricing environment. So can you help us to think about that? And also speak to maybe some of the competitive issues that you've alluded to in the prepared remarks?
John Romano: Yeah. Thanks, John. So, you know, when we think about, again, we're providing annual guidance. We're not gonna provide a lot on the quarter, but when we think about pricing and kind of the cadence that happened in the fourth quarter, you know, we're talking about the similar kind of movement in the first quarter, so it's not a significant move, but there is a lot of, I would say, competitive activity in certain regions of the world. And we're responding to that where we feel there's critical market share that we don't want to lose. That being said, there's also some opportunities where we've gotten some price increases. And as we think about what's happening in Europe with regards to the traction we're starting to get from some of the activity that's happened from duties, you've already probably seen some other competitors have announced increases, and we would expect that we'll start to see an opportunity for that to happen. But, again, it's that recovery period. As the market starts to recover, it's gonna be a little bit slower. And as the, you know, market starts to pick up and, you know, we mentioned in the prepared comments that there was some other duty activity that's happening in India now where we would expect to see definitive duties possibly as early as the second quarter, we'll start to see opportunities for price movement. But it's a bit of a mix. We're protecting some share in some areas, but we're also getting price. It's not a significant move. I guess the point is there's still a little downward movement where we would expect upward movement in the second half.
John McNulty: Got it. Okay. No. That makes sense. And then just a question on the cost-cutting initiatives, the $125 to $175 million. I guess, how much of that is reliant on volumes versus just general efficiency moves and cost reduction that can happen regardless of whether the volume environment is better or not? And, also, can you speak to how this will phase in? Is it relatively straight line through 2025 and 2026, or is it back-end loaded? I guess, should we be thinking about it?
John Srivisal: Yeah. Thanks for the question, John. In the way we've looked at this improvement program is really to focus on cost. And less on volume. So that's really driving the improvement that we're going to be seeing, the $125 to $175 million. So primarily cost-related through improved efficiencies and just an overall redeployment and better use of our spend. As you look towards how we're gonna see that play out over the next couple of years. The majority of that will be in 2026. We do think that we can achieve about $25 to $30 million of that $125 to $175 million in 2025 on a run-rate basis. So you won't see all of it in 2025, but I fully expect to see that into 2026 and then achieving our final run rate by the end of 2026.
John Romano: And there's, you know, again, I would say that there's a lot of technology involved in that. I'll give you an example of some of the work that's been doing that. For instance, at Hamilton where we've talked about automated process control. And, you know, we implemented that in our spin flash dryers recently. And, you know, that technology yielded a 6% redo improvement in productivity in those two spin flash dryers along with an 8% improvement in energy consumption. And as we think about rolling that across all of our chlorinators and into oxidation and into our finishing lines, we're starting, you know, that's where these programs are coming, taking the technology that we've already started to implement and rolling that out through the rest of our operations. And we had, I would say, a very productive meeting with all of our site managers here very recently to kind of validate the work that we're doing. And that's why we feel comfortable with the range that we put out. And we'll be doing everything we can to increase that $25 to $35 million that John referenced by the end of 2025, but that's the target right now as we're still a bit early in the program.
John McNulty: Great. Thanks very much for the color.
John Srivisal: Thank you.
Operator: Our next question is from Joshua Spector at UBS. Joshua, please unmute your line to ask your question.
Joshua Spector: Hi. Good morning. So I wanted to ask on the mining costs and the transitionary impact of that in 2025. So you called out $50 to $60 million. Is that the bulk of it? And then does that immediately come back in 2026, or does that linger? And then related to this, I mean, the whole goal is to help maintain and improve your low-cost position, get to better ore bodies. Is there a benefit in the cost that we should be layering in as you transition to the new mines or no?
John Romano: So I'll start, and then I'll let John add to it. But so that $50 to $60 million, the majority of that is gonna come back naturally. And I'll let John touch on that a little bit more, but I'll also make reference that through the programs that we're doing around cost reduction, we're gonna be looking at what we can do through our integrated business planning process to further improve that. And those are improvements that are gonna be part of that $125 to $175 million. But, John?
John Srivisal: Yeah. No. I think, as we've mentioned a couple of years ago, we did make the decision to delay our CapEx and investment in these mines given the market environment and uncertainty. And so that's what we're seeing, unfortunately, the negative of doing that this year. So as John mentioned, it is $50 to $60 million that will hurt us this year. We do expect the majority of that just to naturally turn and recover in 2026. There is a portion of that that will require a lot of work as part of our cost improvement program, require some, you know, very significant and seamless execution on our operations as well as our integrated business planning processes in order to optimize that. But we do expect that we will be able to achieve that $60 million.
John Romano: And those two mining projects, just for color, Fairbreeze comes online midyear. And East OFS will start to come online at the end of the year, and the real delay was more on the East OFS. And had we not delayed that, we probably would have been coming online in the first quarter with that mine. So there's that lag where we're in these ore bodies that are just not as rich as they will be when we migrate into the new ore bodies.
Joshua Spector: Right. Then just two quick ones on cash. I guess working capital, I mean, this is maybe the fifth year that working capital is a pretty significant use of cash for you guys. Is there anything that can be done there? When do you get relief on that side? And then just with the cost savings program, is there cash going out the door this year or next year that we need to bake in?
John Srivisal: Yeah. So, you know, obviously, you know, working capital will still be used up to flat for this year, but it is a significant improvement over last year when we were at $103 million. We do expect to show progress in all of the major working capital buckets. The biggest use of cash this year is actually AR, which obviously is a good investment in their working capital and driven, you know, by primarily by, you know, TiO2 both TiO2 and zircon volumes increasing year over year. Obviously, that will turn into cash over time. But then inventory, obviously, it's ending the year at close to $1.6 billion total on our balance sheet, but we expect to make progress there throughout 2026. Primarily, you know, we've mentioned that we're running our rates much higher. That has an impact on our cost and what we're putting on the balance sheet. So we are replacing higher-cost inventory with lower cost. So we are seeing inventory generate cash in 2025. AP to conclude, AP is, you know, gonna be relatively flat for the year and not a significant driver of cash. So to conclude, we are seeing we are making progress on our working capital. Obviously, you sorry. You will see Q1 be a big build like we normally see. Traditionally. It's just the normal seasonal nature of our business. But, you know, we're negative $70 million to flattish. This does take into account the current environment that we see right now. And, obviously, you know, if we and we're running at current rates. If we see a significant pickup, that will generate a significant amount of cash.
Joshua Spector: The patch cost of the cost savings?
John Srivisal: Oh, sorry. We don't expect a significant amount of cash going out to generate the cost savings for this year.
Jennifer Guenther: Thank you.
Operator: Our next question comes from David Begleiter at Deutsche Bank. David, please unmute your line and ask your question.
David Begleiter: Thank you, John. Hi, David.
John Romano: How are you? Hey, John. And, John, just on a new cost program, how does it relate to Project Neutron? Is this replaced Neutron, or is still progressing? We're still in existence. Well, Neutron's still in existence, but, again, a lot of what we talked about on Neutron as far as improvements had to do with volume. So this project does not have to do with volume. It has to do with, I would say, a lot of it is generated through operating improvements, but it's going across every aspect of our business. And we talked a little bit about technology, but another example would be what we're doing with Accenture. So we partnered with Accenture about a year ago. And although this, you know, we're just starting to, you know, do pilots. We're doing a pilot with them on AI-driven solutions to support process control and decision making, enabling predictive insights and faster response time and operational stability. So, you know, these are technology-driven processes on what we've already done, rolling them out to other pieces of the business. Again, we're also looking at supply chain and optimizing our vertical integration with respect to prioritizing ore blends. There's an SG&A element of it that we mentioned so that this is across the entire business. A significant portion is in fact around, you know, our operational efficiency and reliability. But every aspect of our business is part of this program. And we feel confident in that range of $125 to $175 million run rate by the end of 2026 and to, you know, our objective will be to try to fast track as much of that as we can by prioritizing the projects that we feel will yield the biggest results or the fastest results and resourcing those appropriately.
David Begleiter: And on the SG&A portion of this program, are there layoffs included in this number, or how many are included in this to get to that target?
John Srivisal: You know, David, as we mentioned, well, John mentioned, we're looking at everything here. But the biggest part of our SG&A is to make sure that our spend in SG&A is much more efficient here. As I mentioned, we don't see from this program particularly in year one having a significant amount of cash costs associated with it. So it is really driving SG&A improvement. But, again, we are looking at every aspect of SG&A as well as other parts of our business to drive value.
John Romano: If you're curious if there's gonna be a, you know, a big dollar amount attached to the SG&A, this is working the SG&A throughout the process. Looking at how we're filling vacancy and how we're redeploying that SG&A. So from a cost perspective, we don't anticipate this to be a huge cost.
David Begleiter: Perfect. Thank you.
Operator: Our next question is from Peter Osterland at Truist. Peter, please unmute your line and ask your question. Thank you.
Peter Osterland: Hey. Good morning. Can you hear me?
John Romano: Yes. Thanks, Peter.
Peter Osterland: Right. Thank you. Within your 2025 guidance, could you size or give a range for the volume growth you were assuming for TiO2 and zircon?
John Romano: Well, I'll give you a little bit of, you know, when we think about so on a percentage basis in the first quarter, when we think about where we were in the first quarter of last year, so Q4 to Q1, you know, we saw a pretty sizable increase, and we're seeing that as we move forward into 2025 first quarter, it's kind of the same kind of range. From a pure percentage basis, John, high single digits? High single digits. Yeah.
John Srivisal: Yep.
John Romano: Again, we've also got zircon improvement in that as well. So across TiO2, I'd say it's, you know, high single digits on both. Percentage.
John Srivisal: Obviously, as we look in the higher end of the range, you know, we do see more robust that's driving, you know, the spread in our range primarily. It's, you know, volume and price at the higher end.
John Romano: And, again, we're not we don't we won't give a lot of color specifically on regional breakdowns, but in the first quarter, we made reference that we were already starting to see some improvement as a result of some of the duties that are already in place. In Latin America, specifically Brazil and Europe. So and now we're starting to see a little bit of a lift even in the order book in Asia Pacific. North America is still remaining relatively stable. We haven't seen a huge pickup there yet. But as we as we move throughout the year, we're expecting those numbers to increase.
Peter Osterland: That's very helpful. Thank you. And then just as a follow-up, what are you assuming in the guidance in terms of TiO2 market share? Do you maintain your share from 2024? Do you expect you may be able to gain share?
John Romano: So clearly, we have lost some share to the Chinese over the course of the last several years, and as demand has an impact on our numbers for this year. But clearly, part of that will be market share recovery from what we've lost from China. So I'd say the majority of the share gain is gonna come in that area. We've talked about this, you know, historically, strategically protecting some market share where we had to be somewhat competitive on price. With, you know, some of the pretty significant moves China made on pricing. With dumping in place in Europe and in Brazil. And as I mentioned earlier, it looks like it's gonna be moving into India. By the second quarter, we have a bit of a unique advantage because we've got a free trade agreement from the facility that we shipped the majority of our material out of Australia into India. So I would say there'll be share gain in that area.
Peter Osterland: Got it. Thanks for the color.
Operator: Our next question comes from Frank Mitsch at Permian Research. Frank, please unmute your line to ask your question.
Frank Mitsch: Okay. Good morning. Wanna come back to the mining cost of $50 to $60 million negative impact in 2025. You mentioned Fairbreeze starting up midyear. Is it fair to say that most of that impact comes in the first half of the year and then starts to decline when Fairbreeze comes up? And, you know, $50 to $60 million kinda sounds like a sizable number. I'm curious if you guys have looked at your input costs, your mining costs, and getting the ore and so forth. Versus if you were to buy on a depressed open market today, how much of a competitive advantage, if any, are you seeing in the early part of 2025 in terms of make versus buy?
John Romano: Thanks, Frank. I'll start and I'll let John add some color to it. So just, I mean, when we think about the additional cost, it really has a lot to do with East OFS and the delay that we had. So we're mining in areas right now that historically, you know, had we not made that delay, we probably wouldn't be mining in. So there is a bridge to get to these richer ore deposits. We've historically said that our advantage from vertical integration is $300 to $400 a ton. And, you know, it's definitely being impacted in the first half of the year to your point, as we migrate out of these older mines into richer ore bodies. So would it make it would still it's still advantageous for us to be vertically integrated, but the advantage that we have and have historically described as $300 to $400 a ton is a bit less as we're transitioning out of these two old mines into the newer ones. John?
John Srivisal: Yeah. No. You're absolutely right. You know, we are seeing much more hurt in the first quarter, a little bit less in the second quarter, and then, you know, tailing off throughout the rest of the year. You mentioned we'll see that fully revert in 2026. And, yeah, as you mentioned, we are still maintaining a significant advantage over competitors from vertical integration. If we look at what's out there from a comparable ore market price, it has gone down a little less, but still within our range that we normally quote, you know, around $300 million per ton.
John Romano: And I guess, you know, the other element of that is, you know, if we were to go out and start buying a lot of ore, we still are, you know, we've got our upgrading facilities where we're making slag in the is a short transition period. So from a cost perspective, you know, a short bridge by buying externally versus using our current assets would be more of a hurt than it would be a help.
Frank Mitsch: Okay. Thank you. That's helpful. And I also want to talk about, you know, starting 2025, you know, some of the problems in 2024 were the high-cost inventory flowing through that was on the order of magnitude of, like, $30 million a quarter. You also referenced the cost improvements in the second half of 2024. I assume that that's part of the cost improvement that's happened. So what sort of expectation, you know, just kinda isolating the high-cost inventory that you faced in 2024 abates in 2025 and, you know, the sort of improvement that we can see from that.
John Srivisal: Yeah. I mean, Frank, for that question. As you know, we have been running, you know, our facilities at expected utilization rates in the third quarter and fourth quarter. And so we actually have seen that in our numbers. And you can take a look at, you know, our year-over-year bridges. Where we have, you know, we've mentioned that we have $75 million in Q4 versus prior year Q4 when we were running at lower rates. So that $75 million is real, and we're seeing it come through our numbers. And as we mentioned, we expect to run that at that level throughout the year. And expect, you know, not that every quarter as we've, you know, we've ramped up in the second half of 2024. So we'll see that benefit flow through in the first half of the year more. But as we're running at rates in the second half of 2025 consistent with 2024, you'll see a loss of that benefit. But as we mentioned, the biggest headwind there is in the mining side of it that pretty much if not more than offsets at this point. The benefits that we expect to see from our pigment plants cost improvement.
Frank Mitsch: Okay. More than offset. Alright. Thanks so much, John.
John Srivisal: Thank you.
Operator: Our next question is from Michael Leithead at Barclays. Michael, you may now unmute your line and ask your question.
Michael Leithead: Great. Thank you. Good morning, team. First question, outside of ore, how are you seeing other inputs such as chlorine and energy trend for 2025?
John Srivisal: Yeah. So we're seeing, generally speaking, outside of ore, that our raw material costs will be declining on average in the low single digits year over year. From a pricing perspective. It will depend by material. For example, we've always said, you know, electricity, we consume a lot of electricity in South Africa. That does go up pretty significantly double digits every year. As well as, you know, things like very specific, coal in Australia. That has gone up pretty significantly given the priorities they have there. But we do expect to have savings, as you mentioned, in areas like chlorine, anthracite, and coke. So overall, down low single digits.
Michael Leithead: Great. That's helpful. And then if I think about the full-year EBITDA guide, and the cadence, Tronox Holdings plc historically seen a bit of a seasonal pickup from the fourth quarter to the first quarter. It seems like based off your full-year midpoint and the heavier second-half weighting, it seems like the first quarter might be relatively flat sequentially or maybe even down a smidge. Is that the right calibration or no?
John Srivisal: Yeah. I think you are getting at the right numbers on Q1 versus Q4.
John Romano: And when you think, you know, there's a couple of things that are going into that. Right? We talked a little bit about the price. There's another element, where we have a planned outage at our facility in the first quarter. That outage is actually planned around our chlorine provider's outage. Normally, this outage happens every two years, and then historically, we've been able to buy merchant chlorine during that outage. Regulations have changed, which don't allow us to buy chlorine via rail or truck. So that outage is going to be a bit longer than it would be normally, and it's aligned with our chlorine producers. So there's an element of that which in the first quarter is, you know, call it $7 to $10 million.
John Srivisal: Yeah. And just to complete the a couple more things on Q1. Obviously, it's the mining hurt that I mentioned on an earlier question. But also, normally, Q4 to Q1, when you turn the year, there's usually a reset on employee costs when you're making higher contributions on unemployed benefits and then normal merit.
Michael Leithead: Got it. Thank you.
Operator: Our next question comes from Jeff Zekauskas at JP Morgan. Jeff, please press star six to unmute your phone line. Thank you.
Jeff Zekauskas: Thanks very much. Earlier in the call, did you say that you were going to build inventories in the first quarter? It's true that sometimes you do build inventories in the first quarter, but you didn't do that in 2024 or 2022. And your inventories are high. Why would you build inventories?
John Srivisal: Yeah. So what I mentioned on the call was that, you know, the largest builder of working capital or use of working capital is AR. We do expect throughout the year that inventory will be a source of cash but it is primarily driven by the lower cost per ton. So the value of inventory as we have improved our cost structure there is going down.
John Romano: And I think, you know, historically, first quarter, you know, as we think about seasonal builds for painting season, we would build inventory. You draw it down in the second and third, and you build in the fourth. And, again, over when we think about where we are, depending upon where we land in that range, you know, we're planning to produce what we sell throughout the year.
Jeff Zekauskas: Which are the geographic regions where prices are going down? And which are the geographic regions where prices are going up?
John Romano: Yeah. We don't typically provide a lot of guidance on regional pricing, but I'll give you some color. As I mentioned, in Europe, we have seen some competitive activity on pricing. And at the same time, in some areas, in Europe, we're starting to get price traction. So Brazil, we're starting to see some opportunities to move price in the upward direction. So in the first quarter, I'd say it's a bit of a mix. You know, there's still some competitive activity in Asia, although, you know, we're starting to see an opportunity from some of the announcements that have come from China where pricing is starting to move up. So it's a bit of a mix. And as I mentioned, when we think about pricing for the first quarter, it's gonna be in the same kind of range call it 1% to 2% down in the first quarter, and then we'll start to see we'll start to plan for looking at price improvement towards the second half of the year.
Jeff Zekauskas: Great. Thank you so much.
Operator: Our next question is from John Roberts at Mizuho. John, please unmute your line to ask your question. Thank you.
John Roberts: Thank you. Can you hear me?
John Romano: Yes.
John Roberts: What do you think China capacity in production will grow in 2025?
John Romano: Great question. Depends on what they announce and what they do. I mean, we're hearing a lot of pullback from some of the production. So I guess it just depends on what source you read. If you read, you know, some of the consultants out there are saying that there's still an ounce in what we're seeing on the ground. Again, we have a plant there. And we would expect that there shouldn't be a lot of growth in TiO2, especially as far as production goes. As a lot of these duties are starting to play out, but there's still some announcements out there. The question is whether or not they can implement it. But, again, we're starting to see pullbacks, whether they're, you know, short-term pullbacks on production or longer-term mothballing is still yet to be determined.
John Roberts: And do you have inventory of ilmenite heavy mineral concentrate, but just no opportunities for sale? Or have you depleted your excess inventories?
John Romano: We have some inventory, but, you know, those one-off sales were more of tailings that, you know, we're not planning on selling those or repeating those anymore. So we have, I believe, the inventory that we need. Therefore, we're not looking to sell that material anymore.
John Srivisal: Yeah. And with our mining developments, you know, we do continue to grow our inventory there as we progress throughout the mines.
John Roberts: Great. Thank you.
Operator: Our next question is from Duffy Fischer at Goldman Sachs. Duffy, please unmute your line and ask your question.
Duffy Fischer: Yeah. Good morning. There was one strategic move in North America where Venator basically exited via the sale of its JV. In your view, what's happened to the market share that they had in the North American market?
John Romano: Well, by definition, the acquirer of Venator should have picked that up. And then I would say that they're trying to make sure they maintain that share. So that was we all know who bought that. So you think it was a one-for-one because they said that they did not buy the client list for that. So it seemed like that was kind of a ball that was up for grabs. But you think, basically, they just backed into all of the same volume and there weren't meaningful shifts in customers versus producers?
John Romano: Yeah. Again, you know, it's a pretty known universe with regards to who the customers are in North America. So, you know, I can't tell you exactly because I don't have full vision into that, but I wouldn't suspect they lost a lot of share.
Duffy Fischer: Okay. And then even though you don't play a lot in this market, what's your view on what happens with both ilmenite and higher-grade ores in the global market for this year as far as pricing goes?
John Romano: Yeah. I think, you know, John touched on it earlier around other raw materials, but right now, we don't see a significant outlook where pricing for ores is gonna go up a lot. I guess a lot of it'll depend on the speed of the recovery.
Duffy Fischer: So I guess more importantly, do you see raw materials for your competitors going down this year?
John Romano: You know, we're not in the market for ore, but we have a good window on that. I don't see that ore prices should be going down significantly in 2025.
John Srivisal: I mean, there hasn't been, you know, over the past couple of years, significant investment in mining expansions other than us. So, you know, it does take many years, as we are well aware of, to bring those online. And so without that investment, you would expect it to maintain, you know, relatively similar to what we've been experiencing in the past couple of years.
Duffy Fischer: Great. Thank you, guys.
Operator: Our next question is from Hassan Ahmed at Alembic Global Advisors. Hassan, please hit star six to unmute your phone line. And once again, that star six to unmute the phone line.
Hassan Ahmed: John, can you hear me?
John Srivisal: Yes. We can hear you.
Hassan Ahmed: Morning, John. So first on the guidance. You know, I was a bit surprised by it. I mean, you guys are guiding to an increment year on year of $10 to $110 million. And as I sort of look at, you know, the macro environment. Inventories are lean. Right? You know, pricing in theory should go up. Because, you know, the marginal producer is actually not really making any cash. And as I sort of try to read through your commentary, I mean, it seems you guys are predicating your guidance only on volume growth. Right? So is pricing playing a role? Are you factoring in any inventory restocking? I mean, you know, some more color around the guidance would be helpful.
John Romano: Yeah. So, Hassan, we're not only focusing on volume growth. There is an assumption in the back half of the year that pricing moves as well, but if you're backing into margin based off of the revenue guide versus the EBITDA guide, there's also this cost element that we talked about on the mining side. Again, we referenced it at $50 to $60 million. You know, we gave you a little bit of a preview even on this, again, planned outage. We've got a bottleneck which, you know, I referenced $7 to $10 million. But there's definitely an assumption, and I would say it's a reasonable assumption on pricing in the second half, but it's not all based on volume.
John Srivisal: Yeah. And just to recall, as we mentioned earlier, we did have some other products one-time sales in last year that, as John mentioned, we will not be doing in 2025.
Hassan Ahmed: Understood. Understood. And now as a follow-up, on the antidumping side of things. I mean, look, you know, historically, we've talked about the sort of potential market share gain being north of 600,000 tons. Right? I mean, where does that stand? Because as I sort of take a look at the trade data, it seems that China in particular, through the course of 2024, was exporting pretty heavily. So, I mean, you know, and maybe you could also sort of, you know, shed some light on how that reflects in your guidance as well. Are you factoring in any sort of antidumping tailwinds for you guys?
John Romano: Yeah. So if you think about, you know, the last several months and almost, like, the last five to six months, exports out of China have started to trail down. And that 600,000 tons that you referenced, it's basically made up of Brazil, the EU, and India. And we have started to see an uplift in Europe, and we've started to see an uplift in Europe, I mean, in Brazil. So there's absolutely an element of the volume growth that is factored to what we believe we will attain through that, you know, the, you know, activity that's going on in antidumping. And, as I mentioned, in India, this morning, definitive duties were recommended, and the way that process goes now is that it must be approved by the minister of finance in India within 90 days. And we have a pretty high level of confidence that those will get approved. So India is a market that, call it, 460,000 tons a year, 300,000 tons of that comes from China. And the duties that were outlined range from $600 a ton depending upon supplier down to around $500 a ton. So those are meaningful duties. And that's something that hasn't been factored into our first quarter, but we should start to see those numbers play out. Again, that was announced this morning.
Hassan Ahmed: Very helpful, John. Thanks so much.
Operator: Okay. Our next question is from Vincent Andrews at Morgan Stanley. Vincent, please unmute your line and ask your question.
Vincent Andrews: Morning. This is Justin Pellegrino on for Vincent. You gave some really helpful color on the South African projects there and the slide deck and the CapEx you've spent over the last couple of years. Now, the projects were delayed from 2023 and then done in 2024, and we just wanted to get an idea of what maintenance CapEx is for 2025 versus growth and kinda what does that look like in a standard year given we've had some ups and downs over the last couple of years? Any color around that would be helpful. Thank you.
John Srivisal: Yeah. Generally, our maintenance CapEx ranges from about $125 to $150 million. In the past several years, it is at the more elevated level. Just given, you know, cost inflation and where we're focusing on, on our plants. So the majority of the remaining, it does relate to growth areas. We did spend $130 million last year in mining CapEx, do you expect to roughly run that level a little bit lower this year.
Vincent Andrews: Perfect. Thank you.
Operator: For our final question, we are headed back to Frank Mitsch from Permian. Frank, please unmute your line and ask your question.
Frank Mitsch: Very happy that you headed back to me. Yeah. Just a question on slide ten, capital allocation priorities. If I'm just, you know, if I'm just looking at how they're ranked, number one, investing in value creation projects. Number two, pay down debt and preserve liquidity. Number three, maintaining the dividend. So I'm just curious. You know, am I looking at that right? I assume I basically, I'm asking the commitment to the dividend, you know, given the fact, you know, free cash flow might be neutral to negative, and so forth, then, you know, how do you think about your dividend?
John Romano: Yep. Thanks, Frank. Look, we're still supporting the dividend. It's still a priority for us. And when we think about 2025 and the guidance we provided, our plan is to maintain the dividend.
Frank Mitsch: Thank you.
Operator: And that concludes the Q&A portion of the webcast. I will now turn the call back over to John Romano for closing remarks. Thank you.
John Romano: Thanks, Danny. So just to summarize a few key points from the call. You know, while we are incurring some higher costs on the mining side of the business as a result of capital delays as we discussed from two years ago, we're making a lot of progress on the overall business, and we're already seeing cost improvements on the pigment side of the business, with the work we've already started to execute on cost savings opportunities, and we will deliver significant additional value from the cost savings program that we have. We remain well-positioned to respond to the market and meet the customer needs as the market continues to improve. And we're improving our cash flow this year and have a line of sight to significant cash flow improvements in the future. We are excited about the path ahead and look forward to keeping you updated on our journey. That is the call for the day. We thank you for joining.